Ken Cragun: Okay, everyone, thank you for joining. This presentation contains forward looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including but not limited to statements about Ault Global Holdings, Inc, sometimes referred to as AGH. Expectations regarding the market demands future financial performance, the implementation of strategic plans and future growth. These statements are made based upon current expectations that are subject to known and unknown risks and uncertainties. AGH does not undertake to update forward-looking statements in this presentation to reflect actual results, changes in assumptions or changes and other factors affecting such forward looking information, assumptions and other information that could cause results to differ from those set forth in the forward looking information can be found in the presentation, and in the AGHs filings with the Securities and Exchange Commission, including its most recent periodic reports, including the risk factors listed in form 10-K. You can also identify things on our website and the Security and Exchange Commission website@www.sec.gov. I'll turn it back over to you now, Todd.
Todd Ault: Thank you, and obviously this is a second quarter conference call for the period ending June 30th. I would say probably the most exciting time in the Company's history, as we have -- in my opinion sort of turned the cycle of converting to a holding company from an operating business that was Digital Power just a few years ago, balance sheet wise, et cetera. So, am I on screen? Can everyone see me?
Ken Cragun: Yes.
Will Horne: Yes.
Todd Ault: So, what you'll see is on the leadership side, there's myself as Executive Chairman; William Horne, our Vice Chairman and CEO, who was promoted in January; Henry Nisser, our President, Director & General Counsel. I'm really pleased that Ken has been establishing a team, our CFO, who we were lucky to get from a billion dollar NASDAQ company. Ken's been with us a while and really starting to shine here. His team, David Katzoff, Senior VP of Finance; Chris Wu, who we just hired as Head of Alternative Investments at Ault Global and President of Ault Alliance, we'll get into that later in terms of deal flow. Obviously Darren, who's a Director at Ault Inc. Company and CEO of Ault Alliance; Douglas Gintz; Douglas Gintz, a great add-on as our Chief Technology Officer; Joe Spaziano, our VP and Chief Information Officer. We added James Turner, in the last few months as Deputy General Counsel and VP of Legal Affairs; Laura Kim, who's been Assisting General Counsel for a while now. And then, Jean Ho, who is our Chief Accounting Officer, really at the parent company, establishing sort of a really powerhouse crew to help the subsidiaries and our partner companies move forward. Let's go to the next slide. On this slide there we go. Hold on. Did we skip any? Alright, so we're going to go through the forward looking statements, the executive leadership team, which we did the corporate structure related to financial highlights, little commentary for me, key near-term initiatives, beneficial ownership rights of Alzamend, which is important. We'll cover that with Ken and Will. I'll go through the financial performance, the balance sheet, Digital Power lendings operations, activist strategy, near-term outlook for the asset base, 2021 corporate and operating updates, forward looking opportunities in future acquisition pieces. Let's go to the next slide. What? Sure because they don't see it now.
Ken Cragun: Yes.
Todd Ault: Okay. So, let's go over the executive summary, some of the second quarter highlights. Next slide. So, this is kind of an important primer to look at. It doesn't cover everything we own, but it covers the most important sectors of what we own. If you've seen this before, you've seen on the left hand side if you're looking at the screen, Gresham Worldwide, led by J. R. Reed and Tim Long, this business is starting to really become operate with a lot of synergies. We own Gresham Power in England, Microphase in Connecticut, which is a big beneficiary of current defense contracts, Relec in England, which we bought last November. I think we closed on in December. And then Enertech, we bought a few years ago, which is in Israel. Then you see Coolisys in the middle. It is a separate company run by Jodi Brichan and Amos Kohn. Amos is the CEO and chairman of Coolisys. Digital Power, the original business was started in 1969. They started this whole process and then what we call TurnOnGreen, which is our EV business, which we're going to have -- we'll comment later about the status there, what's happening with production. The best we can, given the chip shortage. Overall, on the right, you see the Ault Alliance, this is a progress of a business that's between our public and private business, and obviously driving a lot of revenue here, Ault Alliance Cloud services, which is our data center back east and where we crypto mine today. This is an acquisition that we completed in January of a 617,000 square foot building with potentially 300 megawatts of power on 34.5 acres, really a tremendous facility. Our licensed lender, Digital Power Lending, which drives all of our investing activities, including Alzamend, which has potentially a large stake; MTIX International, which we'll have Will comment later, the hotel, which is making wonderful progress in the set to open up next year, AdTech Pharma an announcement we made earlier, think in the last month where we have up to a 40% position, really, I think something exciting happening there. And then Greyledge, which no one's ever heard of, which was a small minority and lonely investment we made where we have the right to a 20% of the Company in a special warrant and to get paid back our money. Greyledge is a stem cell company based in Colorado. Let's go to the next slide. Ken, I thought you could take us through these numbers sort of read through them and then I would give some commentary along the way. A couple important points here, if you could just walk us through this real quick, Ken.
Ken Cragun: Yes, you bet. So, fantastic quarter from a top-line point of view with 62 million of revenue and update from last fiscal year, which was a 5.4 million, most of the revenue growth was driven from DP lending, from our lending and investing activities, 53 million. Of that lion's share came from our holdings in Alzamend Neuro. So, we had a $40.3 million of revenue from the increase in value of our investment in Alzamend Neuro as many of the people on the call know Alzamend had a successful IPO in June, and we were able to mark our investment to market and have a significant gain for Q2. We had modest revenue from crypto mining, and we're going to talk a little bit more about our mining activity on the next slides. But a lot of the gain from lending dropped down to the bottom-line. So, tremendous profitability for the quarter of $44.6 million, net income -- excuse me, income before taxes, and so the 44.6 million -- 40.3 million came from Alzamend. So, it would have still been a solidly profitable quarter over $4 million compared to $2 million in Q1. So excluding the Alzamend gain, nice step up with Alzamend, it's kind of an off the chart financial results. We have raised significant capital over the last few quarters to allow us to have positive working capital about 128 million and in the quarter with over a quarter billion in assets, and big chunks of the assets are cash and 105 million marketable securities, 30 million in our other investments of over $80 million.
Todd Ault: Ken, I wanted to reiterate and for everybody, I'm going to take this very slowly and that is. Will the first quarter we had profits of what about 1.8 million? The first time we have been profitable in about, I think, 11 years or so. Am I correct on the first order of 1.8 million or so? 1.9 I believe, Ken?
Ken Cragun: Yes. 1.9.
Todd Ault: Okay. So if you exclude the Alzamend position, we're still $4.3 million profitable for the second quarter. If you pretended like you never even heard of Alzamend, we would have been thrilled to see that. Well, I can I assume you guys agree with me that having two quarters in a row of profitability excluding Alzamend with a number of virtually double the second quarter versus the first quarter. I don't know that I could be any happier with this Do you guys have any commentary there at all?
Ken Cragun: No, I think you've said it best. I think your focus hasn't best this company's in the strongest position it's ever been. We're starting to see good solid execution across all businesses, not just DP Lending, not just the portion that's attributed to Alzamend, but everybody's starting to make big contributions to the overall results.
Todd Ault: Ken, do you have any commentary on my comment?
Ken Cragun: No, I think I think it's an excellent trend kind of 1.9 to over 4 million, it kind of doubling that profit. So, having the lender fully funded, having the defense business Gresham, they have the working capital they need to execute on backlog. Coolisys is on a good trend. They're up significantly year-over-year. They have the capital they need to get their business rolling, and they're making some investments to ramp-up and help us ramp up the EV business. I think it's probably a good time to talk about the volatility we'll likely see on these investments. Berkshire Hathaway having large stakes and public companies does see some volatility on their top line and we'll expect to see that quarter-to-quarter. But overall, we feel great about the prospects of Alzamend and our position in that company.
Todd Ault: I think I think I want to iterate Ken's point, if you pay attention to the operating businesses, Gresham Worldwide, Coolisys in our primary lending business, and you exclude our large investments, you'll see that large investment volatility, which we'll talk about later, where you could wake up one day up or down because of those concentrated positions. I think Warren Buffett talks about this a lot. That's this accounting law forces us to push them through from an accounting perspective, each quarter. Will, I know, your long history of being a CFO, we talked about this, can you kind of give our shareholders and investors sort of an understanding of why we have to flow those things through now the best you can?
Will Horne: Sure. Well, I mean, at the end of every quarter, we're required to mark our positions, the fair value and the best indicator of fair value whenever you're talking public instruments like our investment in Alzamend business closing market price. I mean that's the standard. So, as the markets fluctuate, our investments fluctuate. And you can't just the balance sheet values without having a corresponding adjustment on the income statement. So, if the value has gone down one quarter, even though we may not have sold anything because we're looking at it as a long-term investment, we still have volatility. And that's what happening with our or will happen significantly. And that's, that's really what drove our big revenue numbers in Q2, right?
Todd Ault: But going back to…
Will Horne: Because now, go ahead…
Todd Ault: Going back to prior years, prior to the accounting change, you wouldn't have had to flow those positions mark-to-market into your portfolio the way we're doing it today.
Will Horne: Again, it depends on what your what -- how concentrated your position is, right?
Ken Cragun: Of course, did we lose him?
Todd Ault: Okay, we'll get back to this part. This is a part where I give my commentary and a little statement here. Obviously, we've seen the strongest quarter in our 52-years of a company, reflecting our strong results of results for the second quarter, the strength in our trading and lending activities. We believe if the current market and investing pipeline stays strong for small caps, if it remains strong, we have great future prospects. We've grown our assets to a quarter billion dollars announced new goals to get those assets to a billion dollars. And at these levels, we envisioned allocating about a quarter million dollars to lending operations, about a quarter of a billion dollars to investment in real estate holdings, and about 500 million to acquisitions. Either profitable companies or distressed companies that we think we can bolt-on or add-on to profitability. Let's go to the next slide. These are sort of near-term key initiatives and this is where I kind of would like to Ken to talk about, he's added to his team and so we're now able to do some carve out accounting and prepare aggression worldwide to become a public company where we would still have significant ownership and this is why I think there's a lot of earnings leverage baked into the cake into a cake. And so, Ken, if we can talk about the team real quick as we're exploring these two IPOs.
Ken Cragun: Yes, we have two big projects on our plate with Gresham and Coolisys is looking at taking those public or doing some strategic roll up to get them access to capital markets. We have a great addition to our team. Jean Ho, who's our Chief Accounting Officer, and Jean has a tremendous background. She has been a COO, CFO. She is a CPA and an attorney, and she brings a lot of energy and a lot of horsepower to our team. And she is going to be focused on these two key initiatives. She is working with Gresham to help them with an IPO or another transaction. And she is also working closely with Amos and Jodi at Coolisys/TurnOnGreen for their IPO. So, great addition to the team, and she has ability to focus a 100% of her time on these two key projects. And so, we feel like we're going to make a lot of progress getting the carve-out audits done that required filings done, working with legal, working with the bankers to get these transactions consummated. So, we're very happy about that addition; and like I said, the key horsepower and bandwidth that we're adding to the corporate finance team.
Todd Ault: Yes. So for those shareholders that are not familiar with this process, you actually have to have a separate audit for each one of our subsidiaries, the ones that want to go public. And so, just envision an idea this is a hypothetical, of course, that Gresham Worldwide were to go public in some form of capital access transaction, whether it be an IPO or a merger with another public company. And then Ault Global DPW still being a significant shareholder, where their revenues would consolidate into our position, we'd still have them on our balance sheet, but they would have access to separate capital markets raising their own capital, their own growth, and this is why we're pretty excited because if you look at the Alzamend IPO, it's sort of a testament to the proving ground of our thesis that, we're going to be able to bring other companies public that are sort of in our category, whether they're a partner company or a wholly-owned subsidiary like Gresham Worldwide and TurnOnGreen, Coolisys. Well, I wonder if you have any commentary on how people should look about future potential earnings, how that you put it in their mind, because I've seen that what happened with Alzamend happening with Gresham and with TurnOnGreen as they become separate companies accessing the capital markets down the road?
Ken Cragun: Yes, I think, this touches upon what I was just alluding to and that goes back to the concentration of what your ownership is in a company, right. If we have a smaller ownership, we're doing a mark-to-market, which is we're looking at the stock price. We're not consolidating it per se whereas initially something like Gresham Worldwide or Coolisys/TurnOnGreen, those companies my expectation is, we would have a large ownership initially and thus they will be consolidated. So you wouldn't see fluctuations in volatility as a result of the public markets and the closing prices on those stocks on any particular day. However, as we reduce our ownership interest, if we choose to reduce our interests, and either through a dividend or liquidating and recognizing gains, then ultimately we would see that type of volatility as the stock price goes up or down, we would see significant swings in our overall profitability.
Todd Ault: So, as we transitioned to, from a way to potential IPO is of two subsidiaries, which we would still consolidate, but they would have access to their own capital base, their own Board of Directors, their own audit, of course, which we think are important events in terms of earning leverage for the Company over the coming years ahead, when you look at this 30,000 square feet of the 617,000 square feet, and I want to emphasize, we're using 30,000 square feet as a data center out of 617,000 square feet so far. Well, I wonder if you could give us an update as to where and how you think it's going at the Michigan data center, kind of what's taking place there as we move forward.
Ken Cragun: So, I think our initial build-out took a little bit longer than what we initially expected. And again, COVID is certainly a factor in that. There has been delays on many fronts; however, I would expect in the September timeframe, we were in a position where 30,000 feet is essentially built out and we're bringing on significant data operations to include our own Bitcoin operations. Right now, as I think everybody's aware, we've got about 1,000 legacy miners that we're using and we're doing a small amount of crypto mining. I believe in September, we'll be in a position where we can install the original announcement, or I should say last announced last '19 miners that we put a press release on the panel, it was in February, Todd.
Todd Ault: I believe it was February, yes.
Ken Cragun: Yes. So that's, that's our expectation today. To build out, it's not just the build out on the square footage, again, 30,000 square feet. That was one say it's arbitrary, but it was sufficient for our original needs, we're, I think we've revisited that and we're going to be doing a lot more on the power side of it, as far as increasing the overall capacity so that we can more rapidly build out actual square footage.
Todd Ault: If you look at total hash rate versus where we're mining now versus what we see coming online, with the announcement from February, and those delivery schedules as they happen will, of course, as we get delivery will report them. When you look at that schedule, I see crypto mining, as a percentage increasing a quarter-over-quarter we'll see how September goes with the installation of certain miners. But this as the data center comes online, Bitcoin as a percentage of the total assets, I think will increase over time. Will I assume you agree with that assessment, I said that correctly?
Ken Cragun: I do for multiple reasons. One, I'm very bullish on the price of Bitcoin. Look, it's going to be like the market, it's going to have it's going to be volatile over the next couple of years until we figure out who the dominant players are. But we're not in a position that we need to liquidate our cryptocurrencies as we mine them. So yes, I would say as an overall percentage, we can expect that to increase over the next few years.
Todd Ault: So as we move on to the $50 million purchase order from MTIX, what's happening with MLSE, we're going to limit our comments here for a very specific reason. And that is we're in the middle of filing an S-1. And all I can say is that we are committed to the MTIX business, we are committed to getting the Company reporting after this S-1 is filed. And we'll commit to giving you an update. I think there's marketable progress here. But because we want to get the S-1 out, we're going to limit our comments here to just saying that standby for the S-1. And then after that, we'll give you an update here, but we are committed to this process. Well, I didn't know if you wanted to say anything, but I kind of want to limit the comments, given that there's an S-1 pending.
Ken Cragun: Yes. I love the business. I love the technology, and I love what it can do for the environment. And I'll leave it at that.
Todd Ault: So in expanding our, our loan portfolio and investment portfolio, we've added to a professionals including Chris Wu, we've hired other analysts in this category. So, we're really ramping up that portion of a say, I brought a $100 million portfolio of loans and investments at DPL, Digital Power Lending, and the fact is, is that we have companies inside that portfolio that we think we'll go public too and we'll talk about them later. And then what we'll be talking about some targeted future acquisitions later in this on the last slide, let's go to the next slide. Now, I want to pause here for a second. And I want to take our time here because it's a tricky situation with what we're reporting and that is. We did not report a $40 million gain on the entire full position of what we can potentially have in Alzamend. And so Ken, I wanted you to carefully navigate that while that's true at the bottom, you can see we have the right to own 22.8 million shares, which I think gives us a lot of operating leverage from an investment standpoint and what could potentially be a gain for Alzamend. Maybe could walk people through what we actually had at the end of the quarter the best you can kind of give them an outline as to how that affected us because we reported 40 million but on actually how many shares?
Ken Cragun: Right. So, we own shares, we currently 6.7 million shares outright. It's a little bit less in the, at the end of Q2, but yes, 6.7 million plus warrants related to that those shares. We got warrants on the IPO. We got warrants on our March 2021 security purchase agreement. So, we took the outstanding warrants and the outstanding shares multiplied by the closing stock price at June. The Black-Scholes are valuation on the warrants and that generated the $40 million gain. Now, update on the $10 million security purchase agreement that had certain milestones. So, we initially invested $4 million. So, it's up to 10 million, $4 million was front, $2 million was on approval or a green-light to proceed from the FDA on Phase I clinical trial trials for Alzamend's first drug AL001. So we put it in, we put that extra 2 million in, but that was, I believe we did that after Q2.
Todd Ault: It is a subsequent event.
Ken Cragun: Yes, subsequent event. So, we are $6 million into that $10 million commitment. So, the rest of that our investment kind of we view that as contingent on AL001, getting a successful completion of Phase I. So then we'll put on the last 4 million on that investment, and there'll be warrants associated with that as well. And then, the $10 million security purchase agreement in March also gave us the right to do another 10 million on similar terms, but no milestones defined. So, we have upside from our current position, the remaining 4 million and an additional 10 million and the associated warrants that go with that. So, that's where we get kind of the bottom line on this slide and we can own up to it -- should we exercise a lot of rites to invest and all the warrants, we could own up to a 22.8 million shares. We are outstanding as of today 6.7 million shares of common and 2 million warrants. So, that's kind of overview. There are few moving parts on it, but we do have significant rights to invest more at favorable terms and then warrants associated with that.
Todd Ault: So, you could clearly see what Ken outline for you was that, one we know already because the Company's released that they don't need any money currently to get through their stage of testings that they're on now, and the Company says for their foreseeable future for the next year, they don't need capital. So obviously for us, and it's really important to understand this if we were to fully exercise everything, not only would they not need additional capital for a while, but you can see that every dollar for us in terms of increase in price is about $22.8 million total for the portfolio that DPW owns. And so, obviously every $10 that was higher than our purchase price would be over $220 million. So, we are very optimistic about what they are, and we understand we spend a lot of time on their initial drug, AL001 and its cocrystal lithium qualities to hopefully be your replacement is a baseline for lithium, and we're excited to watch them go into patients in September the day announced and what they're doing with the vaccine hopefully later in the year. So, this is what Kennan will talk about with volatility in our reported earnings, because obviously we don't have any power to know where the stock is going to trade, but as they make milestones and progress in patients and they get more and more valuable, we have a shot on wall here to really participate with massive upside. And if you look at what the potential value is of vaccines and treatments for Alzheimer's and a host of the 15 other indications that AL-001 has, I couldn't be happier. If you were to ask me a year ago, I would have been a little bit more of a skeptic with my visiting, with the scientists and the researchers involved, overtime, I've been convinced that this is a marketable potential for us, really something amazing. Well, do you have any commentary on our position there or anything that the investors or shareholders have think about that I haven't covered?
Ken Cragun: No. I mean, we're in a fantastic position because we do have the right to acquire up to $14 million more to invest another $14 million into the Company at predetermined price. So, if it's in the best interest of our shareholders to do that, we will look.
Todd Ault: I think people need to understand that, most hedge funds and we're not a hedge fund, but most hedge funds or investors would love the right to participate, but not the obligation. And we have certain rights, but not obligations under certain of these circumstances. So, we think we've negotiated the best of both worlds. The independent Board was involved here. Scientists were involved here. Outside firms were involved here to help us negotiate what we had here. And so I'm pretty excited about. Let's go to the next slide. Let's go to the financial performance. I'm going to let Will -- I'll let Ken start with this, but I would say to you that, there were a lot of our only-goal, only digress for a second, there was a lot of people calling for the demise of our business a few years ago. But we think that we're in a strong position to counter that, especially with the potential IPOs of Gresham or a go public transaction with Gresham and a potential IPO or go public transaction on TurnOnGreen. Ken, any commentary here on this slide?
Ken Cragun: Yes, you can see you're excluding the trading and lending. Gresham, 6.5 billion of revenue, fairly balanced between the three larger companies Relic or Relec, Microphase and Enertech, and then Coolisys at 1.8 million all the day. I think they were up there up significantly from prior year quarter. On this also you can see kind of in that dotted line, circle there 105 million in cash, the 30 million marketable securities, their investments related parties is primarily between Alzamend and Avalanche International, which is also known as MTIX or it's a subsidiary MTIX, that total 74 million. And then we have other investments in debt net equity securities of about 4 million, so significant assets there. That's a big chunk of our quarter of a billion in assets. Yes, we were we were up on all of our business segments. Year-over-year, we were up on Ault Alliance obviously big, Gresham was up, Coolisys was up. So, it's good to see strength across all of our business segments.
Todd Ault: Yes, I would say it's really important to understand if you looked at the Ault line side of the slide and you were just to take off $40 million of gains, you still see 13.8 million in revenue out of the Company and you still see a blended mix of what Ken said of a Coolisys, the EV and power electronics business picking up I think that was substantial for them on a percentage basis. We're really pleased with the calming operations that are taking place at Gresham worldwide and their ability to navigate their current contracts. These are long tail contracts they have, stabilities important and really a huge turnaround by Tim Long, J.R. and the staff at Microphase really remarkable there. And then with Relec, they've just not missed. They're killing it on all cylinders. Any commentary from you Will on this because I think that the results, if even if you take away the 40 million, we'd still be beyond pleased. If you look at Gresham, they're on a pretty big tear of becoming, a $30 million business themselves. And Coolisys is just getting started in EV. So, I think we're really optimistic about the revenue run rate here. Anything -- any thoughts, Will?
Will Horne: Yes, this company has really been hindered historically because we haven't had a strong balance sheet, right? I mean, if you look at all of the issues we've had over the last three or four years, and there's been a fair number, it's all it's always been around capital. So right now, we've got a strong balance sheet, we got 105 million in cash, we got 30 million in marketable securities; and that really allows us to position all of our businesses for success as well as pursue additional acquisitions if something came along that we felt warranted an investment. Again, I look at look at our cash needs over the next 24 to 48 months and you've got MTIX International, obviously, the parent company Avalanche, that's going to require some capital. We've got the EV business that we learn, we're publish on cryptocurrency, that's going to be that's going to require capital. Unfortunately, again, with a strong balance sheet, we're now in a position to execute, both with financial resources and bringing on really, really strong talent.
Todd Ault: That's great. I would say I want to give a commentary that I'll cover later in the show today or what -- sorry, the show I'm used to risk on our budget, the conference call. One of the things that's happening that's wonderful is we obviously with Chris coming on, we're looking at deals potentially, and I think the strong balance sheet really changes the narrative of our ability to acquire companies that are profitable, that are EBITDA positive, and that put us in the running for those potential long-term acquisitions. Let's go to the next slide here. So this is a little bit of a, we reached $250 million in assets. We've kind of wanted to outline for people sort of dry powder. We only think we're operating at 20% capacity, the hotel, we do not consider to be something that would go public. Although, there have been conversations about potential sales of that on our balance sheet. It's not significant enough to really go over that anymore. It's only about 2 million on our balance sheet. For Alzamend, we've talked about already. MTIX we talked about, Greyledge and AdTech Pharma. I'm going to get into AdTech Pharma quickly. We negotiated for about a year to buy a position in AdTech Pharma. We negotiated the ability to buy up to 40%. They made a lot of progress, if you look who's involved at AdTech Pharma. It's kind of who's who in the pharmaceutical industry, really amazing, talented people there. And I think that there's a potential like there was for Alzamend for that to go public in 2022 at a significant valuation that would material effect the Company. Now, granted, there is no assurance that that will happen, but this is something that, I think you should be looking for down the road, AdTech and Greyledge, ultimately to be public and for us to benefit very similar, maybe not in size, but in scope, in terms of being material to DPW's earnings down the road. And so, we're pretty excited about owning those positions. Let's go to the next slide. This is a slide covering activism, which is what I specialize in. I've been a 13D filer an activist shareholder before, this goes to what Will talk about having a balance sheet. You can see on this Slide. We currently have a position in SilverSun Technologies, SSNT. We have a position in Briacell Therapeutics, BCTX, a position in Friedman Enterprises, the big steel company out of Texas, Longview, Texas, and oil and gas company that we're the largest shareholders of in Houston, Houston Energy, HUSA. All those things that we're active with management and trying to extract some value there, if you know anything about 13D filings you can kind of look at the icon model where you kind of take a position, you identify something we think the Company could do, changes that could make. And then from there, obviously you hope to benefit from the Company making changes or you hope to acquire the asset, where you entered in a lower price, and you got to get in there at some significant value. If you one of the examples and Will was directly helping me with this one, this is early. When we got started, we had an entry date of 10/30 on the position UUU it's a previous 13 day. We bought an entry position at 257. We exited, I believe at an average of 10.11. You can see on a rate of return basis, from when we entered in late October, November. This thing went from around $2 and some change. I think it actually hit $19 at one point intraday. But, this is an example of something was meaningful. Will, I believe we made 1.6 million on this investment, give or take.
Will Horne: Give or take. It was a Q1 investment, obviously.
Todd Ault: Yes, if you look at our public 13D as you can see, we've made money, I think on most of them, if not all of them. Obviously these are publicly reported, not hard to follow, and we envision having more of these like we do with SilverSun, we have good relationships generally with the management of these companies and we're actively involved in trying to excrete some sort of value from candidate. Will, I don't know if you want to comment on the activist strategy at all. I didn't know whether you want it to or not.
Will Horne: I think it's been -- we have a little bit of a war chest how to do that. I think you and Chris and some others on the team are great at identifying some of these opportunities. We've had good success so far and I think it's we have a leverage on our balance sheet to continue to do this.
Todd Ault: Sure, sure. Well, anything from you?
Ken Cragun: The only thing I would say is it's interesting, right? We look at some of these companies who take a position because we think we can either increase our position and get better results than existing management or healthy existing management. They're never really meant to be short-term, but it's ironic, though, because in this market, they have been a little bit more short-term than we would have thought they would have been in part because of the volatility.
Todd Ault: Yes, they have been short-term. I think sometimes when we wait into the pool, we're kind of a little bit of a whale. And we bring activity to them. And that generally can lead to some sort of lift, but ultimately, you got to add value here or doesn't make sense. So, this is a sort of a category, we're looking for the end of 2023. And I want people to think about return on the assets, also, not just getting to a billion in assets. But what it would like you like to have a return on those assets and the potential probability of future growth with a company. Now, by the end of 23, through a combination of equity financing acquisitions with financial leverage, and liquidity events that are subsidiaries or partner companies like IPOs, like spin-offs, like going public transactions, we hope to have a billion dollars of capital assets in these categories, Will any commentary on how to a shareholder investors should think about the mix of grouping here, what we're looking to do from a stable kind of free cash flow model where we want the parent company to have a certain amount of free cash flow, and not have everything on red or black in terms of the marketing probability?
Will Horne: Well, I mean, ultimately, that's why you've got to, we've got an estimated mix of 50% on the operating companies. Look, the lending and trading activities that do the lending are fantastic and we've been very, very successful. And you can see that this year, but ultimately, that's not predictable. And the nice thing about focusing on good operating companies that are distressed that we can turn around really see can be, a key driver in the next 20 to 30 years like MTIX, like the data center, those types of businesses will result in predictable revenue streams for this company. 510 years down the road from now, lending again, it's a little bit unpredictable, I love the business. And then I love that I love the concept of real estate. Because as we start getting predictable revenue streams and operating cash flows and positive cash flows, we're going to want a place to invest that and there's only so many opportunities where you can look at dividends, you can look at share buybacks, or you can look at growing your overall balance sheet and adding future revenue from those from those stable investments in real estate, versus always a good category on long-term.
Todd Ault: Maybe do you have any commentary on this?
Will Horne: Yes, although our lending and trading activities have been volatile, I think if we're deploying 250 million, that would put a big chunk in into loans, that would create some stable cash flow, maybe be more heavily weighted on the lending rather than the investing side or maybe more balanced on the lending versus investing. So, the lending side of that could have a nice stable get 5% to 15% of that investing capital being fairly predictable. So, the real stable cash flow for us lending, a chunk of that should have some stable cash flow going forward and then the model of targeting EBITDA positive companies again, that's an another return on investment there. So, I think we have a diverse diversified approach, a balanced, little more heavily weighted to the operating. But all three of these categories should generate sustainable cash flows.
Todd Ault: I would bring to your attention to all the investors attention shareholders that there's a little asterisk at the bottom, and that is, when I made a strategic decision that we do not want to really exceed 10% of the assets in cryptocurrency. So, if you think about us being around 200, in plus or minus 60 million, that would be around 25 million and those assets, and if you got to a billion in assets, that'd be around 100 million, not to kind of exceed there's no way to keep it perfectly exceeding or not exceeding that. But Will, I wonder what you give everyone at least a commentary I have on this is that, there's a lot of danger in the way that Bitcoin is mark-to-market because it's not mark-to-market. So, I wonder if you could give everyone maybe just a high level thought on why we want to limit our assets to around 10% of Bitcoin?
Will Horne: I think 10% Bitcoin right now is reasonable based upon the structure of the Company, Now, we've talked about what our long-term goals are for this operating business and obviously it's a holding company to look at EV business that could take significant amount of equity. And for that type of a company, you want have access to the capital markets. Now there could be ways that we can do that with and reduce the overall needs right. You start looking at something like crypto and you look anything the cost of these miners and you look at what the crypto is going for now. In thousand minders, minders you are looking at 6, 7, 8 million. In orders to really scale that company, you are talking about potential IPO or some sort of merger with another company. It's the only way that I believe that we can truly capitalized on that market. But, I do think targeting 10% and having 25 million maximum put into it right now, it gives us a phenomenal base where we can leverage that. I mean, if you look at it, we've got a data center that has 300 megawatts of power, 600,000 square feet. Obviously, we've only scratched the surface on our initial build out. We've only scratched our surface on the build out of the electricity right now, going up to 300 megawatts, but if you couple that facility, be you couple minors, I think it gives us a really, really nice business. And it gives us a lot of options, a lot of optionality where we can either again, partner or go to the capital markets directly.
Todd Ault: Thanks Will. Thanks Ken. Let's go to the next slide. So this is kind of a corporate update. We're going to wrap it up fairly quickly here. Obviously, we moved our corporate headquarters to Nevada, but we kept an accounting office in Newport and we have a legal office in New York. We're actively building an asset management team, who is strategic hiring. We hired Chris Wu. We talked about as an example of really someone coming over very talented, really bringing us deals from an EBITDA perspective and deals we would never see, that is an improper thing where it says under management. What we really mean is. We've achieved the goal of 250 million in assets. We finished the acquisition of the data center that took place in the first half of the year. And we successfully brought Alzamend in public, which we think is a really a driver and an example that we can do it. The team proved they could do it. Ken obviously is intimately involved there in Alzamend as a Senior VP of Finance. Will is of course the Chairman of Alzamend. And if you look at things like Gresham and TurnOnGreen, Coolisys, and you look at them going public. This team has proven, they can do it a strategic right to buy up to 40% of AdTech Pharma, continued opportunity in Alzamend and what the milestones could bring there. All the operations Will said are improving. So, I'm very thrilled with their performance, that they're all improving. And by the way, we're still dealing with COVID, believe it or not, our office was affected in the last month and our travel been affected and we presently have three employees with COVID now, which I can't go into. And so unfortunately that COVID thing is just not going away. We've demonstrated that the Alta Alliance team can execute, and even if you take away the Alzamend still significantly profitable and improvement of profitability, and we've already talked about the top line growth at both Gresham Worldwide and Coolisys TurnOnGreen, let's go to the next slides. These are forward opportunities we talked about already on the call, potential IPO or go public transaction for turn on green, Gresham Worldwide, AdTech Pharma, Greyledge. And then, we're working diligently to file an S-1 and change the name of AVLP to MTIX International and hopefully someday up list that company. So, we obviously want to bring that to the NASDAQ too. We're bullish on the long-term value of the technology. I think if we were to say one thing about that. My commentary would be, as we probably didn't understand truly the full complication of a rollout globally and the capital needs. And then on top of that, rolling COVID into Italy where they're manufactured, England where they're partially manufactured, Germany, well, I don't know what your commentary is. But we continue to be bullish here and we continue to be stubborn in the fact that we're pushing MTIX for. Do you have any commentary doll here about maybe just that commentary I did about the frustrations you've had?
Will Horne: I can't see this year as being a frustration. I really can't. I think this year, having capital and having a strong balance sheet has allowed us to make some investments and allowed the AVLP and MTIX management teams to start to execute something that we struggled with in the past and those struggles, some of it was technology driven. But really the bulk of it was just resources and whether it's human capital or, or financial capital, that was the issues historically.
Todd Ault: Sure. If you look at these forward looking opportunities, one of the things that I'm excited about is you could say, well, Alzamend demand is a onetime event. But when you look at the potential IPO of Turn On Green and Gresham or potential go public transactions with any of these companies here, and there's five of them right now, you think, well, these onetime events can be more common than we expect. And so if you look forward six months to a year, the question is, which one of these companies gets out in the capital market on their with their own balance sheet? And what is that drive to potential earnings for Ault Global Holdings and the shareholders there? And there's a lot of potential here especially with AdTech with TurnOnGreen, these five companies Gresham, a lot of potential for them to be on their own is separately traded public companies, and they have, they all have their own management teams, which is great. AdTech has a who's who in the biotech world. Gresham has built their own management team, TurnOnGreen, Coolisys, this is doing the same. MTIX with Pravin and Manny, they're doing that and the doctor and the couple that runs Greyledge. They've been around for a long time. So, I think the forward opportunities here is that you get more of these onetime events. They're turned into more, not just one time events. Any thoughts there, Ken?
Ken Cragun: No, I think I think you hit it on the head, I think there there's homerun potential with AdTech, Greyledge and MTIX. Well, as well, as Coolisys, and we've talked in the past about shots-on-goal, I think the shots-on-goal are getting more real. And I think we're more optimistic about the shots-on-goal and these are cannot be massive opportunities.
Todd Ault: Because of that strong balance sheet for sure. Let's go to the next slide. So, this is the last slide. And I'm going to let Will talk about potential acquisitions in certain categories and kind of what he wants to see. When you look at the separation of duties and you think about Henry Nisser, our General Counsel and President, you obviously identify that he's strongly involved in running the legal team, which he's built back there with James and Laura, and some recent additions. You look at Ken's strategy, the parent company to build out financial reporting with recent hires, and then you look at the operational side of the business, which is really overseen by the CEO, Will Horne. Will I thought maybe you can talk about sort of our new parameters around trying to get those assets to a billion dollars with acquisitions and the EBITDA on top line space.
Will Horne: Sure. So look, we have some general, yes, criteria when we look at acquisitions, and I'm less focused on stressed companies and more focused on companies that are going to be creative and have positive cash flow. That's the one thing that we've lacked historically. But you want to be able to buy in at the right price, different than anything else whether it's real estate or we're operating companies. But that being said, when we're looking at companies, you went back a couple of slides, and we looked at the five companies, we were discussing, what's nice about able to get these things as standalone publicly traded companies, it gives us again, an opportunity to either one, make it a onetime event. If we think that the stock price warrants liquidating position or two, we think that this company is something that's going to generate significant operating profits over the next 20 or 30 years, maintaining that as a fully consolidating company. So, it's one of those things that Todd that you and I sit down and we look at every quarter. And I think that's one of the great options of having a holding company as opposed to just a strict operating company. Again, acquisitions, we're going to look in all the spaces, we'll look in all the different areas, I don't care if it's real estate, biotech technology. We're open to anything but it's got to be something that has a sustainable, sustainable profits and growth. Otherwise, it's not worth their time.
Todd Ault: Ken, I wonder if you could talk about let's say we were to make an acquisition of something that we thought was worth say $100 million, we were to put 30 million down, borrow 70 million on a non-recourse basis. Maybe it was generating $200 million in revenue, $20 million of EBITDA. I was picking some numbers out of my head here. But could you explain to everybody the non-recourse side of the private equity, where we'd be able to buy a business for a certain percentage on borrow against that EBITDA, but not risk to parent company's balance sheet except for that 30 million?
Ken Cragun: Right. In the past we have described, Ault Global as having almost like a private equity model under a public company wing. But now, I think we're really positioned to execute on that. Chris Wu has a great background on doing large deals. He has a great background on getting those deals financed and creating some leverage for us. And as a CFO, sometimes you worry about taking on too much debt because it can be perhaps an existential threat to the consolidated entity. But if its non-recourse the parent and kind of keep that debt contained within that initiative, within that entity, and that entity has the cash flow to support the debt, then we can do more acquisitions because we have that leverage. You can borrow to make that acquisition, and then as that company performs and as they pay down the debt, then more value, the value shifts from the debt holders, enterprise value from the debt holders to the equity holders. Our shareholders overtime, get more of an interest in that initiative. So, I think it's a prudent thing and there's some safeguards there. We keep that debt for on-recourse the parent and it kind of self-contained within that separate corporation then it's something that can be very powerful for us.
A - Todd Ault: I'm pretty bullish on the Company. We're going to go to the last 10 minutes, probably 8 minutes of questions now. We'll have some closing comments from myself, Will and Ken. Let's answer some of the questions. I know one of the questions I got this morning was Will. are we against the idea of buying back stock? And well, I'm not going to commit to buying back stock. Yet, I do know there is a general thesis. You and I, and the Board have talked about this at length. There would be scenarios there that you would consider it. I thought maybe we can get your commentary or Ken's on the buyback of potentially buying the stock, if the stock continues to trade below book value?
Ken Cragun: Yes. Look, we've had these discussions numerous times at the Board level and it's always on the table and it's always something that's evaluated seriously. We've got to weigh it against our overall needs and where we would see ourselves long-term for the next five years, and whether or not we think that's a better use of our cash. Right now, I know some people look at this and say, okay, you've got a $100 million in cash. It's a prime time to do a stock buyback. I wish I had 500 million in cash right now and that's a little bit overstated. But I just don't know right now is the time that, we would seriously consider a buyback, knowing the initiatives that we have sitting in front of us over the next 12 months.
Todd Ault: Got it. Any other direct questions, I know Gary, you haven't received a couple.
Unidentified Analyst: Are we considering any cash dividend?
Todd Ault: Are we considering a cash dividend? I don't think we would consider a cash dividend will and can, until we achieved some key metrics around free cash flow and getting to that sort of larger number. I guess I would give my commentary, if we're 200 and call it 60 million in assets now we're about 700 million, 740 million away from a billion. I don't think people understand the opportunity for the MTIX Machines worldwide in the 100,000 textile plants around the world have the really dramatic opportunity there for that business, but when we consider a cash dividend will.
Will Horne: Again, right now, we've got four or five companies we're looking at some sort of path to a liquidity event or to make them standalone entities so that they can access the public markets. I think when we work through that, we'll be in a position whether or not we're able to start considering a cash dividend. I think it's certainly not off the table, but it's not something that I envision happening over the next 12 months.
Todd Ault: Yes, I would think people should not be owning DPW for a cash dividend. I think it's unlikely given the fact that I think we're going to have high return on invested capital going forward. I really don't think people understood that we got to the other side. We have enough scale now and enough potential earnings power. That to me we're on the other side, we have a liquid market, we have a shareholder base. Those key initiatives, we're getting that shareholder vote passed, which took place last Thursday, last Friday. And really Ken, Craig and David, and the team that he's building out in on the financial reporting side, what Will has done to work with him as he migrated from being the CFO? I don't think people realize the rock star staff that and people that have that. And I'm going to be selfish here and say that when I recruited and convinced to come work at the organization, Will's a rockstar, there's no question around that one of the best CFOs I've ever known. Ken was at a billion dollar NASDAQ company, David didn't have to work. Jean has work with great companies. We hope we've we I just think people don't realize the team we're assembling and that we're porous for future growth. And we have multiple shots-on-goal to get to that billion and assets. So, I just simply don't believe -- I could believe that we can generate a stronger return. And eventually that'll show up in the stock price. Hey, listen, I've personally been buying through Ault Company, our private holding company that Will and I control. I've been buying up stock is reported almost every day. So I simply, if people want to sell to us at a discount, that's the market's choice. I don't have a commentary there other than my actions speak through their check writing. So, any other questions there?
Unidentified Analyst: Yes. Are you considering any investment  Dogecoin?
Todd Ault: No, we're not investing in Dogecoin. The only cryptocurrency that right now I think Will and I Ken are comfortable with is Bitcoin and Ethereum. And we're primarily going to stick with Bitcoin with there may be a stake in Ethereum in the future. And as we said, we're committed to having up to 10% of the asset base in those cryptocurrencies from an asset generation perspective, that number could be bigger or smaller, obviously, if Bitcoin goes up in value, but I don't have any commentary there. I can go back to the slides there. I get this question. I got this question several times. Will there be IPOs? Will can I handicap that? I think it's almost inevitable that there will be other companies, we've maintained either a subsidiary or partner company to go public. You can never guarantee the timing of them, but Ken has set the stage with being with hiring Gene, and the ability for our internal team to produce separate financials. We're working well with our auditor. Listen, Ken, I'm going to let you have last word here. And then Will and then I'll wrap it up. Ken, any thoughts on the first half of the year, anything else you want to add to it, your thoughts on the next six months to a year?
Ken Cragun: Yes, first half has been great for us, it's been very encouraging to see the bottom line performance and the ability for us to raise equity and to really fulfill the goals that you've outlined for several years time, getting that the holding company, capabilities capability and activist capability or private equity type capability. So, it feels like it's coming together. And it's happening real time. And I'm currently encouraged for what's on the table, and the quality of the opportunities that are out before us. It's very encouraging and I feel like with the future's bright right now.
Todd Ault: Will any thought process and final words here?
Will Horne: I think, again, the Company and historically has lacked -- been lacking in two areas. One is capital, we had addressed that. We are certainly looking at some of these opportunities that we have that will increase our balance sheet, whether it's realized gains or operating profits in order to help grow to the 700 to 750 to get to a billion. So, I think we've dealt with the balance sheet side. But what I think we failed to does discuss or really go into today's call was not just the finance side that we've been increasing the skill set and the level of expertise we have. We brought on a ton of key hires on the legal side. And we've also brought on Chris Wu. I know we mentioned his name a little bit, but there's also consultants that have specific expertise to come along with people like Chris Wu as well that we're doing entering into relationships with. And I think that's going to, I think all of those are going to come together and really help us drive this 1 billion.
Todd Ault: Hey. So, I'll end it on this note. Will just stole a little bit of my thunder. We've never been in a position where we've been financially stronger. We are financially strong. We have a lot of wherewithal. We have good banks behind us. We've recruited a lot of talent and I'm going to go through it, Henry Nesser, who is our General Counsel who bring up, brought on James Turner. Laura is there. She's just brought another lawyer. So, we're really strong and the internal legal team and what Henry has built around James. James has been a wonderful addition to Henry brought over. On the financial side of it, Ken, David Katzoff, Jean Ho, Lynn, who we have internally, the team at Alzamend, the team at Gresham Worldwide, Coolisys, the management team at Gresham. I think this is really a story of where my job is becoming a lot easier to allocate capital because we've gotten really challenged people behind us, Will is my business partner. He's a large owner at Ault Company and he is my partner in making decisions along with executive committee where Henry at Ault Global. And so, I think that people don't realize that talented group of people we've hired that we've come to get together and work with, with Chris Wu, and Darren and Joe and Douglas Gintz and Marcus over in the EV side of it with Amos and Jodi. I think you're going to see great things coming from EV finally. That part is obviously not baked into the cake yet, so there is a lot of upside there. I think you're going to see Gresham finally making a move towards a public company; TurnOnGreen, probably hopefully getting a decent valuation. The people we are associated with at AdTech and Greyledge. I just think there's a ton of potential now, with this really strong balance sheet, and we don't even know what the potential that Chris brings with the people he is connected with the distressed assets we can buy. We can buy things out of bankruptcy. We can buy things that are up for auction that have EBITDA. So, I have never been more bullish on the future of the Company. The future of our businesses, I think that's  I’m on a call. So, our legal team calling now. So I appreciate everyone being on the call. Will and Henry -- Will and Ken, thank you so much. It was a great six months. I appreciate to all the shareholders and stuck with us. Obviously, you can see some of the Vanguards of the world and other people taking positions. One of our goals is to get a stable shareholder base and people allow the Company, the holding company to grow. We're pretty thrilled about this and look forward to seeing you at the end of the third quarter reporting and what happens in the third quarter and other milestones happening this year.
Ken Cragun: Anything else?
Todd Ault: All right. Everybody take care be well. Ken, we'll talk to you later.
Ken Cragun: Bye.
Todd Ault: Bye.